Jose Manuel Entrecanales: Good morning, ladies and gentlemen. Welcome to the Acciona Group and Acciona Energias 2022 results presentation. Let me first tell you that we will – I will make a short introduction, and then I will leave the floor to Rafael Mateo, CEO of Acciona Energias; and Arantza Ezpeleta, CFSO of Acciona Energias. And then after them, we will continue with the presentation of Acciona Group results with Pepa Chapa, Investor Relations; and Jose Angel Tejero, CFSO. After the presentations, we will go into the Q&A. We will try to put the Energias questions first and then the rest of the group questions, although I'm not sure we will be able to administer the timing of each of the questions in that order. 2022, marked 25 years since 1997 when the Entrecanales Group merged with Cubiertas and went public under the Acciona brand. During these 25 years, we have generated more than 300 terawatt hours of clean energy, which is equivalent to the power of a country like Italy for a year and avoided carbon dioxide equivalent of planting 180 million trees or close to 170 million tons of CO2 avoided, which is 70% of – equivalent to 70% of Spain's annual emissions. Also during the last 25 years, we have built close to 10 million square meters of houses, industrial or commercial or office buildings, which would be equivalent to the city of Bilbao; 6,000 kilometers of roads, which is Madrid to Warsaw and back; 600 major bridges; 3,000 kilometers of high-speed rail; 1,300 kilometers of metro or water infrastructure serving 76 million people. We were one of the first companies in the world to define sustainability as our main strategic guidelines and under this focus, we have developed a unique business, which despite operating in different sectors, our CapEx in 2022 was 98% aligned with the European taxonomy of sustainable activities, which comes to prove that almost any business can be done sustainably. Today, we employ close to 50,000 people in 55 countries, and our robust balance sheet allows us to invest heavily in seizing the enormous opportunities derived from the need to decarbonize the economy while adapting it to the unavoidable impact of climate change, urbanization and evolving social needs. And for that, we continue to invest in innovation at an intensity 3x higher than that of our peers' average. All these factors plus a long-term focus and a stable shareholder base place us in a privileged position to provide the state-of-the-art sustainable solutions up-to-date, while exploring what will be the solutions of tomorrow. Green hydrogen, energy storage, urban electric mobility, carbon-free desalination or positive energy housing are excellent examples of what could be Acciona's unicorns of tomorrow. I will not run you through the financial figures of 2022 as Rafael, Arantza, Jose Angel, and Pepa will do it later. But let me make a few comments on this year. Despite difficulties in the supply chain, raising costs, logistical problems, and interest rate hikes, the growth plans we projected at the IPO of Acciona Energias continue on track, and we are confident that inorganic growth opportunities will arise to recover any delays accumulated over the past 20 months. Bottom line, P&L and leverage wise, however, we are far better off than predicted at that time. Notwithstanding the important geopolitical and inflation risks, the fundamentals of the industry remain solid. It's three main variables: CapEx, interest rates, and energy prices have increased significantly over the past months. CapEx by 15% to 25%. Cost of capital by 200 basis points approximately, but future energy prices by 20% to 60% depending on the market. Hence, our 200-plus basis points margin over WACC still holds. The invasion of Ukraine has proven how important it is to rely on [foreign paths] [ph] for our energy needs, more so when it's authoritarian autocracies. Finally, it is now clear that renewables are not only the solution to emissions, but also to energy independence with its immediate costs. And just to put it into context, between March and September last year, wind and solar generated 24% of the EU's electricity, avoiding 8 billion cubic meters of fossil fuels and saving €11 billion, which also did not go to finance the aggressor. Along these lines, only a 5% increase in new renewable capacity in Europe's repair EU plan, say from 40% to 45%, would mean a 50% reduction in our gas imports by 2030. That is savings of 100 billion a year. Of course, while reactivating all the related industries and creating close to 2 million new jobs, no-brainer if you ask me. With this, government reaction must be consistent and avoid contradictory messages. Europe, on the one hand, has raised public commitment to renewables while on the other, lags on its investment in transmission networks, fails to simplify the permitting processes or opens a regulatory frenzy that [could mightily] [ph] has added new risks to potential investors. Needless to say, investment capital flows to the best risk return equation available. It is always wise to offer a predictable regulatory environment when willing to attract unprecedented amounts of private capital into a region or a sector, but it is paramount when the world's other major players are significantly improving their investment profile, in particular the U.S. with the IRA or the regulatory tailwinds in Australia as examples. This is particularly worrying for European wind turbine manufacturers who do not see a clear improvement in demand, while operating at a loss caused by price hikes in the supply chain and logistics problems. European OEMs in the leadership – the leadership in the world is at risk. It is, frankly, very frustrated to see how it's low went at all. We are protecting our industrial independence in a sector in which we are a global leader essential to our energy independence and key to decarbonization. But notwithstanding the regulatory uncertainty, inflation and financing cost hikes as the dangers of climate change and energy dependence become more apparent and urgent, investors, customers, and regulators have raised their expectations. The momentum towards a net zero is undeniable, 132 countries, nearly 90% of the emissions are now targeted for reduction and net zero commitments. The scale required for the economic transformation would be unprecedented. A recent study from McKinsey shows a shift of spending from high to low emission assets that could create one of the largest relocations of capital in history, $275 trillion between 2021 and 2050, 2021 and 2050. For this to happen, CapEx needs to rise from about 5.7 trillion today annually to an annual average of 9.2 trillion, that all the way to 2050. This is an annual increase of 61% or 3.5 trillion of additional investment annually. Indeed, energy infrastructures are an essential part of this investment, by no means the only one, a wide range of smart infrastructure. Smart we use as an acronym for sustainable, mitigating, adaptive, resilient and transformative, need to accompany the energy investment. And for the first time in decades, I believe demand for smart infrastructure is picking up at a speed that may shed some light at the end of the tunnel of decarbonization. Only exponential growth in global public awareness, government policies, and corporate strategies may bring us back to the track of 1.5 degrees Celsius as a target. For the first time in decades, as we're saying, I see signs that the much-needed exponential growth may be starting to happen. Indeed, it's been our record year in new infrastructure contracts with 30 billion in consolidated backlog, 85% international. Renewables pipeline growth of 8 gigawatts from 30 gigawatts to 38 gigawatts and new transformative technologies where Acciona has significant competitive advantages, quickly getting closer to market readiness. 2022 has brought us a good example of what we can do. The largest construction contract in Acciona's history, the Western Harbour Tunnel in Sydney, a $2.8 billion alliance contract, one that greatly diminishes our risk for a virtually invisible infrastructure that will reclaim access to – of natural areas and will emit 60% less CO2 in its contribution than the originally designed project or the 1 gigawatt MacIntyre wind farm in Australia, one of the largest renewable energy facilities in the world, of which construction is underway. Two of the most important property developments we have promoted this year, one of them, which will be our new headquarters, which have obtained the highest sustainability ratings ever obtained in the world or the development of the Silence S04 or extractable battery urban EV, which will be in the market, hopefully, this summer or starting the project, which will solve the secular water supply cuts in one of the largest cities in Northern Mexico and one of the most water-stressed regions in the world or the recently recurrent floods in Fargo in North Dakota. I could go on with more iconic projects that show why Acciona is the most comprehensive global sustainable infrastructure solutions provider in the market. But although the increase in activity has been remarkable, we have managed to start decoupling our CO2 emissions from growth. We have reduced our Scope 1 and 2 emissions by 3.3% and our intensity from 21 to 15 tons of CO2 per €1 million of revenue. We have also employed 10% more full-time workers worldwide and strengthened social conditions, both on communities with very specific action plans and human rights compliance in the supply chain. Finally, in 2022, our social cash flow, the funds we create and distribute was €12.2 billion, which is 22% more than the previous year. Of that, EUR 12.2 billion, 7.4 billion went to suppliers, 1.9 billion went to CapEx, 1.3 billion to employees' compensation, which is 18% more than the year before and 1.5 billion was paid in the different taxes, which is a 14% increase over the previous year. 225 million comparatively went to dividends. Let me underscore that dividends are by far the smallest chapter in our social cash flow and particularly a seventh of what we contribute in taxes. As for this year, we will propose a dividend of €4.5 per share, which is a 10% increase. Ladies and gentlemen, if my perception is correct, we may be at a historic moment in the recent history of mankind by starting to turn around the unsustainably destructive path on which humanity has set itself a couple of hundred years ago. Time will tell whether it is unfunded optimist or really the start of something big, but true or not, all we can do is continue trying. At Acciona, we will remain committed to their purpose to continue creating economic value while providing society with sustainable infrastructures and decarbonize the economy. Thank you very much. Rafael?
Rafael Mateo: Thank you, Jose Manuel, and good morning to everyone. I wanted to start with a review of the key highlights of the year. 2022 has been a very good year from a financial perspective, the strong results responds to the high energy price environment in which we have operated during 2022 in the majority of our markets, and also in adequate commercial policy and energy risk management in this volatile situation. In Spain, in particular, it positioned us to capture the high prices through our spot sales and the gradual rollover of our hedge position, and we took the advantage of the circumstances to recontract energy maturing from the regulated system turning into 10 years PPAs. These very good results put us in a strong position to address the accelerated investment needed to enable the energy transition and to reduce the Europe's dependence on imported gas and other energy commodities. In fact, we have closed the year 2022 with flat net debt as the operating cash flow generated was sufficient to cover a growing CapEx bill and the payment of the dividend. Our credit ratios are even lower than the year before. We believe we have one of the strongest credit profiles in the sector and a very distinct financial policy centered on corporate debt and access to the debt capital markets. We live in a world of higher interest rates and tougher financial markets, renewable development and energy management are adding more complex, requiring flexibility in our balance sheet and funding model represent in our view and a strong competitive advantage. Our liquidity is high, and we have pre-arranged the bulk of our financial needs for 2023. In terms of capacity additions, we have added more than 700 megawatts in the year, and we have 2.2 gigawatts under construction. These are real projects that are in progress and should take us closer to the 2 gigawatts capacity additions in 2023, which is a mirror step change in our rate of capacity growth towards the – at least 2 gigawatts per year cruise speed that we are targeting. The supply chain is normalizing gradually, and we have resecured our equipment needs for 2023. Our focus for the successful delivery of our 2023 targets is on the PV module deliveries and the pace of civil works, foundations, towers and turbine erection at the MacIntyre wind farm. We are not only working on 2023, but also beyond to maintain high growth rates in profitable new project additions. We have an excellent visibility and optionality for 2024, as I will show you in a moment. With respect to 2025 target, it's obvious that the world has become more complex, and we are somewhat behind the schedule due to the difficulties in 2022. Having said that, this target remains a key role driving the entire organization, and it is not just for the market. It is for us. I will elaborate in a minute. The company does not need to tell you that with overall capacity just to grow or to meet the targets given to the market, but to add value. We are strongly committed to preserve our balance sheet strength and optionality in our investment-grade credit ratings. Before I turn to the next slide, I also wanted to talk briefly about our commercial policy. We believe our commercial policies is smart, is flexible, is prudent. We are at the top of the list of the green PPAs in 2022 with 2.5 terawatt hour nearly signed during the year with major contract signed with the Spanish industry that gives them the stability, the affordability and the green energy access that they need. And also, we signed another large asset to a key client in the U.S. market. In Spain, we believe we are managing well the faster than expected regulated to merchant transition resulting from the higher power product environment. We were prepared for this, and we have already re-contracted 2.5 terawatts hour under mostly 10 years contact so far, increasing the contracted duration of these volumes out of the regulation. I want to mention also that we have renegotiated prices in certain existing PPAs to better reflect the new cost environment. Turning into the Slide number 9. We provide you an update of the capacity we added in 2021 and 2022 in the pipeline. Since the IPO, our total pipeline has increased by around 8 gigawatts and that is after having installed 1 gigawatt in the meantime. The more traditional win and PV pipeline has grown by 2.5 gigawatts approximately and the pipeline related to new technologies, such as batteries, offshore and green hydrogen has increased by around 5.5 gigawatts. I would reiterate nevertheless, that the role is not to have a massive pipeline, but actually to have sufficient pipeline as maintaining a pipeline is expensive. Our goal is to have a level of pipeline that is efficient cost, effectively giving us the headroom to achieve our goals and flexible to adapt to the changing market situations. In Slide number 10, I want to elaborate a bit more about our 2025 capacity target. As I said before, we are approximately less than one year behind our initial plans and it's a fact that environment for making investment decisions is more volatile today, higher volatile CapEx and financial cost, higher uncertainties on permitting speeds in cruise access or residual supply chain fears. Our 2025 target is more challenging today, but at the same time, the policy trends that we are seeing, for example, in Europe or in the U.S. are very supportive, and our pipeline is growing significantly in size and scope. While CapEx costs have increased around 15% to 25% in the last couple of years, and [WACC] [ph] are up by around 200 basis points. Energy prices in some of our key markets have increased between 30% and 60% in the period, whether we are looking at PPA prices or average long-term wholesale prices. I'd like to say again that our capacity target is not just a target for the investment community. It's a critical driver for internal performance and achievement across the entire organization. We are confident in crystallizing a major increase in the rate of capacity additions during 2023, around 1.8 gigawatts, and our focus is on being able to maintain an increase, if possible, a cruise speed of at least 2 gigawatts per year. The main markets that we contribute to this whole are Australia, the U.S., Spain and Brazil. Brazil, in particular, could be in the future, a significant swing factor. Again, financial discipline is extremely important, and we will grow, as long as returns are attractive and the balance sheet strength is protected. We are maintaining our investment policy, and we currently see reasonable good prospects in terms of returns across some of the key markets where we operate. We are confident that we can generate significant volumes of good projects in markets like Spain, Europe, the U.S., and Australia. In other parts of the world, we will be ready for the PPA price investment cost equation to be better aligned of our policy to turn around. This is why it's important for us to have a long-term strategy and a very good geographical diversification in terms of operations and in terms of pipelines that allows us to shift from one region to another. In Slide 11, I want to refer to the details of the 2023 construction plan and the visibility that we are building for 2024 and beyond. In 2023, our plan is to add 1.8 gigawatts of new capacity with 650 megawatts of MacIntyre with around 830 megawatts of our U.S. PV assets currently under construction, as well as new capacity in Spain and in Peru. Here, the critical points are the PV module delivery, which we are confident it will be according with the schedule, as well as the pace of installation at MacIntyre. With respect to 2024, we have 1.2 gigawatts already identified that are including the tail end MacIntyre in Australia and the completion of retail halt in the U.S. roughly 250 megawatts in Australia that are part of the new PV project called Aldoga with a total capacity of 445 megawatts plus 72 megawatts in Croatia plus new assets in Spain, which recently [received – awarded] [ph] environmental approval. We expect to close around 300 megawatts added in 2024 in Spain, including 50 megawatts biomass plant. Additionally, we have a mature pipeline and a lot of development optionality to support additional growth in 2024 and 2025. I will highlight that we are in advance talks in several processes to acquire U.S. PV pipeline in very advanced stage of the development amounting to more than 2 gigawatts in aggregate. I would also like to mention that the Spanish hybridization pipeline with 2.3 gigawatts of project in total, out of which around 50% has already applied for environmental approval, in which we think will provide a steady source of new megawatts for us in the next few years, although we need to be watchful of the evolution of volumes and prices. In Brazil, we continue developing our 1.1 gigawatts of pipeline and the focus today is in getting these projects ready to build and be ready for the alignment of the power price with CapEx and financial costs. We are confident in this country in the future as a significant source of growth for the company. All-in-all, you can see that we have 3.5 gigawatts of secure and under construction projects as well as many opportunities in which we are making progress in order to maintain an excellent crisis speed of profitable megawatt additions. We have included in the Annex a good level of details of all the projects under construction with the [indiscernible] and the progress of the key projects that we are building today. To conclude this section, we have included an overview of where – that we are doing with respect with the new businesses and new technologies. I'm particularly pleased with the acquisition of what is now our first operating utility scale battery project in the U.S., 190 megawatts, 380 megawatts hour, two hours of storage plus a large pipeline of additional projects all in ERCOT, Texas, U.S., which is one of the most advanced markets for batteries and storage in the world. This is to jump from our R&D demonstration projects that we were operating for a decade to only operating and dispatching the largest battery in Texas grid. This is a great milestone for us in a new business line. We are also very excited with the entry into the Southeast Asian market partnering with Pioneer – with our partners, the Pioneer developer, The Blue Circle. Asia is one of the most populated and energy-hungry regions in the world and developing market for green energy, and we want to play an important role there. On green hydrogen, I like to mention the progress that we are making in the development of our 25 megawatt electrolyzer project that is being developed under our joint venture with Plug Power and that will be constructed on the site of our biomass plant in Navarra. In Offshore, we continue to work on the development of floating solutions, pursuing opportunities in several markets. And now let me hand over to our Chief Financial and Sustainability Officer, Arantza Ezpeleta for the review of the key financial and sustainability aspects of the results. Arantza? Thank you.
Arantza Ezpeleta: Thank you, Rafael. Good morning. Let me start with a quick overview of the key financial and operating headlines. Revenues have increased to €4,351 million, thanks to the higher volume and prices in the supply chain activity in Spain and higher regeneration revenues. EBITDA is up to €1,653 million with generation volumes slightly down, but with average achieved prices growing strongly. Attributable net profit has increased to €759 million. I would note the impact of the reversal of the regulatory banding mechanism in the P&L with €94 million net contribution to pretax profit and the impact of the mark-to-market of certain energy supply contracts of €64 million. Net investment cash flow grew from €819 million of net investment in 2021 to close to €1.3 billion in 2022. Net debt is basically flat at €2 billion, and the credit ratios improved with net debt-to-EBITDA falling from 1.83x to 1.22x. In terms of operating data, shown in the right-hand table, let me mention some of the key data. Total capacity grew by 5% and consolidated capacity by 8% at 11.8 gigawatts and 9.9 gigawatts, respectively. Consolidated output is down 2% to 19.7 terawatt hours. Our supply volumes in Spain and Portugal exceeded 9 terawatt hours, growing by 26%. Our load factors were weaker than expected, as Rafael mentioned, at 27%. The average achieved price has increased to EUR 114 per megawatt hour. Moving to Slide 15 on our ESG performance. On the social side, we have increased the percentage of women in managerial positions to 26% and we have also increased significantly the number of projects with social impact management deployment and it's scope increased to encompass the product development phase as well. We have improved further our accident frequency index to 0.39, which is something we are very proud of as safety is one of our top priorities at Acciona Energias. With respect to the environmental indicators, we have almost 100% alignment of CapEx with the European Union taxonomy and we have reduced our Scope 1 and 2 emissions by almost 40% and by increasing further the procurement on green energy for our own operations. We have also rolled out initiatives such as electrify and our own fleet for the O&M vehicles and our emissions are well below the SBTI target for Scope 1 and 2. We have also increased – reduced significantly the waste and landfill volumes and increased recovered waste to 98%. In Slide 16, you can find details on investment during the year. Gross CapEx amounted to over €1.6 billion with net CapEx deferral at €362 million. As a result, the total cash outflow from investment reached almost €1.3 billion. The investment is mainly concentrated in new capacity in the U.S., Australia, and Spain. In this slide, we show the evolution of the net debt in the year and the key cash flow items. I would highlight that operating cash flow was very strong at €1.3 billion and compares against net debt before IFRS 16 of €1.6 billion at the start of the year. This cash flow generation almost fully covered net investment of €1.3 billion and the payment of the dividend. In Slide 18, you can find details on the makeup and the key metrics of our debt. Our gross debt stood at the end of December at €2.4 billion with close to €1.9 billion of corporate debt, representing 77% of gross debt and €551 million of project debt. Cash and cash equivalents at year-end amounted to more than €800 million and the IFRS 16 liability at just over €400 million. Our average cost of debt during the year was 3.26%, with the cost of corporate debt at 1.6%. The cost of debt has been increasing gradually as the year progressed, due to the steep increase in the base rates. As of year-end, fixed debt represented 64% of the total gross debt. The average maturity of our debt is more than 5 years, increasing significantly relatively to 2021, primarily due to the issue of long-term bonds. We have included, as usual, some statistic on the Spanish power market. I would highlight the 50% increase in the average power price to €168 per megawatt hour, and how monthly averages were below 2021 levels for most of the second half of 2022, mostly due to the Spanish gas exception intervention. Demand fell by almost 3% and with the ordinary line demand falling by close to 4% with a steep fall in the industrial demand in the context of the very high power prices. In absolute terms, it is the lowest electricity demand since 2 years and 3. CCGT production was the first technology in Spain in the year, followed by wind and emissions increased. Hydro production fell by 43%, although at year-end reserves have recovered significantly and stood broadly in line with 5-year averages and at 43%. Here in Slide 20, you can see the key drivers for the Spanish generation revenues. Consolidated output fell by 3% to 9.3 terawatt hours. Regulated output represented 35% of production and hedge energy and other 52%, so that total contracted stood at 87%. Average achieved prices in Spain increased by 100% to €168 per megawatt hour, hedge volumes through financial derivatives and contracts achieved a price of close to €134 per megawatt hours, while the merchant volumes captured a net price of €168 per megawatt hour. The regulated volumes achieved a price of €219 per megawatt hour. Given the high power prices in the market, the regulator income received and the impact of the reversal of the regulatory banding mechanism accounting in-line with the criteria of the securities authority [CNMB] [ph] as most of our regulated assets are unlikely to obtain any regulatory income in the future and will consume the regulatory capital ahead of the end of their regulated useful life. All-in-all, generation revenues increased to €1,555 million. Total Spanish revenues in Slide 21, reached €3.2 billion with a strong supply and generation revenues. Generation EBITDA reached €1,272 million and the total EBITDA was €1,255 million, which is a very good result. Let me jump directly to Slide 23. In this slide, you can find the key drivers for the international generation revenues. Production was slightly down with consolidated output at 10.4 terawatt hours and achieved prices fell to €66 megawatt hour. Prices increased in most markets, except for Chile and the U.S., where we capture exceptionally high prices in 2021, due to the Texas storm. Revenues fell to €685 million with lower revenues in Chile and the U.S. and higher in the rest of the market. EBITDA in the international business fell to €398 million, with lower contribution in Chile and the U.S. generation fleet, a negative contribution from the equity accounted assets due to the impairment in our Portuguese PV plant because of the end of the feed-in tariff period. To conclude the presentation, I would like to share with you our outlook for 2023. Starting with EBITDA, we expect another excellent year in 2023. We expect EBITDA in a range of €1.5 billion to €1.6 billion. And of course, depending on the evolution of the power prices, which will be a key driver for this. As we have said in many occasions, we now live in a world where power price expectations for the year move by tens of euros per megawatt hour. In terms of net investment, we expect it to increase relatively to 2022 within the range of €1.8 billion to €1.9 billion. Net debt-to-EBITDA should close the year at 2x or below, a very low year-end ratio. And in terms of dividends, the Board has proposed a distribution on a dividend per share of €0.8, which implies a payout of 30%. Thank you for your attention.
Jose Manuel Entrecanales: Very good. Now we will carry on to the presentation on the rest of the group. And then we will continue with the Q&A. Jose Angel Tejero, Thank you.
Jose Angel Tejero: Thank you, Jose Manuel. The management team of Acciona Energias has presented its financial figures, and therefore, I will present those of the rest of the group. Let me start with the key financial highlights of Acciona in 2022. As you can see, revenues grew by 38% just over 11 billion with international markets accounting for 56% of the total. EBITDA grew by 39% to 2,068 million, mostly driven by energy despite the poor year in terms of output and by infrastructure, despite inflationary pressures. Profit before taxes amounted to 869 million, a 51% increase compared to the previous year. And attributable net profit reached 441 million, 31% more than the year before, but still negatively impacted by the contribution of our stake in Nordex. We have invested 2 billion in 2022 versus 1.5 billion the previous year, despite the increased investment in [net inflow] [ph]and even after taking into consideration the net inflow for the group of the IPO proceeds in 2021, our net debt-to-EBITDA ratio at [December 2022] [ph] has fallen to 2.54x, well below the 2.93 ratio reported a year ago. We will review the financial targets we set out at the beginning of the year and how we have met them or exceeded them. In terms of EBITDA, our initial target was to reach a solid double-digit growth and we have achieved a 39% increase. This has been possible, thanks to the optimization, the way we manage our Energy Generation business and to the improved performance of our Construction business. As for investment, our initial target was to invest 1.7 billion to 1.9 billion and we have invested slightly more than 2 billion, mostly because of our contribution to Nordex capital increase in 2022. Regarding leverage, our last year guidance was to maintain a solid credit profile and to keep our net EBITDA ratio at similar levels than past year around 3x. But we have beaten our guidance reducing it to 2.54x. And finally, with respect to 2022 dividend, the initial guidance was to deliver a prudent and sustainable growth in our dividend figure. Our Board of Directors has approved 2% to the shareholders meeting approval a 2022 dividend of [€4.5] [ph] per share, which will imply a 10% increase versus last year. And here, you can find our ESG highlights and key environmental and social performance metrics. In 2022, Acciona has been included in the S&P Dow Jones Sustainability World Index, having obtained a score of 88 points out of 100. Due to the result of this assessment, Acciona has also been recognized in the S&P Sustainability Yearbook 2023, which aims to distinguish those companies that within their sectors stand-out for the strength and consistency of their corporate sustainability strategy. In the social aspect, there has been an increase in the percentage of executive and manager women to 22.2%, an increase with social impact management and an accident frequency rate, 9.5% lower than that registered in 2021. Regarding environmental indicators, CO2 emissions, a Scope 1 and 2, have decreased by 3.3% and CapEx aligned with low carbon taxonomy increase to 98% in-line with the commitments acquired by the group. In this slide, we provide details on the investment we have made in the different businesses. We have reached a total amount of just over €2 billion. Acciona invested almost 1.3 billion, has been explained a few minutes ago in detail by their Acciona Energias team. In Infrastructure, we have invested more than 244 million including 112 million equity investment in our concessions portfolio, mainly Line 6 Metro in Sao Paulo, Brazil, which is our main concession asset. Our activities with total investment of 421 includes 243 million invested in the two capital increases carried out by Nordex in June and July 2022. As a result of these capital increases, Acciona’s stakes in Nordic has grown up to almost 41% as of December 2022. We have also invested a net 61 million in property development in 2022, and that includes a gross investment in land acquisition for [€118 million] [ph], sorry. In this slide, we show the main cash flow items explained – that explain the evolution of the net debt during the year 2022. The most important moving part is the [€2 billion] [ph] net investments already mentioned. Working capital was positive in 196 million with a strong cash flow generation in the second half of the year, both in energy and the rest of activities. Financial results amounting to €169 million have been 7% higher than in 2021, while other operating cash flow includes mainly taxes, minority interest, and operating income from the associated companies. The dividend paid in 2022 amounted to 225 million. As a result, we have finished the year 2022 with [5,253 million] [ph] of net debt which is 909 million increase versus previous year. 2 billion of that figure corresponds to work-in progress projects that will be generating revenues in the coming years. Moving to the performance of our different activities. In the two next coming slides, we present the main operating and financial data of Acciona Energias and its pipeline update. I will not elaborate on Acciona Energias results given that Rafael and Arantza have presented them a few minutes ago. Going into the infrastructure division this division continued with the growth path of recent years and set the new historical record in terms of revenue, reaching just over 6 billion, which is 24% more than in 2021. This strong revenue performance was driven by our Construction and Water businesses, which have increased its revenues 26% and 21% respectively versus the previous year. The geographical distribution of revenue shows that the international market, which grew 30% versus the previous year, represents 81% of the total, being mostly based on OECD countries with solid risk profile. Our Australia and Southeast Asia is the largest geographical region accounting for 30% of total revenues, while the domestic market accounts for 19%, which is similar to the last year level. EBITDA also increased by 40%, compared to 2021 reaching 369 million. This growth is supported by the increase in production and margins for international construction projects, which offset some adjustment of margins in some water projects. The Infrastructure Division's project backlog is also at a record level at the end of 2022, reaching more than 22 billion. This represents an increase of 22%, compared to the end of 2021. If we include the projects that are accounted through the equity method, the figure rises to more than 30 billion. In-line with revenues, the order book also shows a very balanced geographical diversification. Australia and Southeast Asia are the largest regions. Accounting for 29% of the total, followed by LatAm with 27% and Spain, which accounts for 18%. In terms of awards, we obtained over [9 billion] [ph] of new orders in 2022, a new record high. Particularly noteworthy was the volume awards in Australia where the construction divisions won the largest contract in his history. The Western Harbour Tunnel [Package II] [ph]. Winning major contracts [confirms] [ph] our ability to manage the largest and most complex projects on a global scale. Based on our high technological specialization, our self-performing capabilities and integration of all our activities. Moving into construction. Construction is the largest business included in the Infrastructure Division, performed well in 2022, both in terms of revenue, and EBITDA, exceeding the results of 2021, and increasing the profitability of the project, reaching 5% EBITDA margin in 2022 versus 4.5% in 2021. Australia remains the main geography followed by Brazil with the Sao Paulo Metro Line 6 as an iconic project. During 2022, some of the most important projects of recent years such as following in Norway and the Seville bridge in the Philippines was successfully completed and commissioned. The completion of these projects had no impact on the order book as the growing trend of contract awards have continued adding important points to our portfolio for the coming years. In this context, I would like to highlight the important wins in Australia, new package for the Southern product alliance for almost 200 million and the aforementioned largest Western Harbour Terminal, the largest contract in the company history. New contracts were also won in LatAm where we leverage our integration between businesses with Chile leading the way with La Serena Hospital in collaboration with concessions and the Collahuasi desalination plant in collaboration with water. It is also important to note they awarded the first contract in Finland, which consolidates our presence and commitment to the Nordic countries. These however bring our construction backlog to a record for the business. In the concession business, the growth rates compared to 2021 are somehow distorted by the asset sales [bet] [ph] last year, in line with our strategy of rotating mature assets. From an operational point of view, 2022 was a year of activation of the major price awarded in 2021. We think with investments of 112 million and this includes the Fargo diversion channel project in the United States, La Serena Hospital in Chile, and of course Line 6 of the Sao Paulo metro in Brazil, which represents an important milestone not only for Acciona, but also for the entire infrastructure market in Latin America being the first [contract] [ph] of this kind and the largest concession project in the region. Further awards are expected in 2023 having been prequalifying [indiscernible] with a total CapEx of 11.5 billion. The opportunities are diverse both geographically. We see U.S., Chile, Peru, Colombia, Brazil, Spain, Poland, U.K., and of course Australia and in terms of type of projects, roads, rail transmission lines, social and renewable. With the center of Western [indiscernible] Transmission Line mega project in New South Wales is standing out with an important estimated investment for which we are competing against other final business for a decision in the first half of 2023. Beyond 2023, we have identified a significant pipeline of projects worth 83 billion, making concessions an increasingly important part of our Acciona’s strategy and infrastructure. The water business increases revenue by 21%, compared to 2021. Reaching more than €1.2 billion. This growth was shared by the two types of activities developed within this unit. EPC contracts, which grew by 19% and integrated water cycle management and online services contracts, which grew by 26% This revenue is driven by the Middle East market, which represents 51% of the total as a result of the strong brand positioning achieved by a [few in the region] [ph]. However, this growth in revenue was not matched by an increase in profitability, which was affected by the increase in energy costs, and the adjustment of some of margins in certain projects. The brand portfolio is at similar level as that presented to the end of 2021 with LatAm as the main geography, thanks to the recent contracts awarded in the recent addition of the Collahuasi desalination plant in Chile. [LatAm] [ph] is considered a region with great potential for the development of water projects where we can apply all the knowledge and experience we have acquired over the year on some of the most complex and important projects at a global level. The breakdown of the other book, however, has changed compared to the 1% of the year ago with a greater emphasis on integrated water cycle management and O&M services contact with long-term recurrent flows. Thanks to contracts won in 2022. In the near future, we intend to continue this trend of balancing EPC and running contracts to reduce revenue volatility risk. This year, for the first time, we are devoting a separate section to [Eurobank] [ph] and environmental services businesses, which is growing as a result of the strategic shift away from the energy efficiency project. Now, it is [indiscernible] towards a focus to cleaning and waste collection. It is precisely because of this change that the growth rates for 2021 are not representative, but like-for-like, Urban and Environmental Services revenues have grown 22%, compared to 2021. At the same time, the order book has grown 111% implying 5 years of revenues. The award of the major waste collection contracts in Torrevieja, Madrid was notable in this aspect. Moving to other activities. In this unit, we include businesses such as property development, Bestinver, mobility, and facility management. I will talk in a minute in more detail about property development and Bestinver. But I would like to give you some highlights about the other activities. Silence, our manufacturer of vehicles have sold almost 13,000 units in 2022, a 43% increase versus the year before. For 2023, we expect to keep this pace, including initial sale of some units of the nanocar, which is being launched this year. Lastly, in Facility Services, we have increased our revenues by 9% to 426 million, driven by new contracts awarded in Spain and Portugal. Taking in more detail about property development, starting with our key figures, we have achieved a total revenues of 247 million, which represents an increase of 30.5%, compared to 2021, due to the larger number of units delivered, [617] [ph] houses in 2022 versus 443 in 2021. The main development delivered this year has been Valdebebas, a build-to-rent project of 395 units that we have delivered in November. The following EBITDA is due to the sale in 2021 of a logistic project in Barcelona. Excluding this impact, the underlying profitability of the housing development business remains stable. In terms of commercial activity, we have finished 2022 with our pre-sales backlog of 1,473 units, which is in-line with December 2021 figure. This units, which will be delivered over the next three years, will generate more than €460 million of revenues. Around 31% of these sales are related to build-to-rent projects. And in terms of valuation, the gross asset value of our property portfolio at December 2022 reached 1,541 million, which represents an increase versus December of 2021 of 13%. The weighting of rental properties increased to 31% of the total from 27% last year, due to the higher valuation of our rental properties. Lastly, Bestinver had a negative evolution in 2022 with average assets under management falling by 16%, revenues by 21%, and EBITDA by 30%. At December 2022, assets under management reached €5.1 billion versus [€7 billion] [ph] a year before. And to conclude the presentation, I would like to share with you our outlook for 2023. Starting on EBITDA, we expect a better year in 2023. We expect EBITDA range of 1.5 to 1.6 in Acciona Energias and a solid double-digit in the rest of activities, mainly increased by increased contribution of construction based on the quality of our order book. In terms of CapEx, we expect to invest around 2.6 billion of which [1.8, 1.9] [ph] will be invested from the Energy business and the remaining by the rest of the group. And this includes the shareholder loan provided to Nordex and subject to approval by the shareholder meeting at the end of March. We'll be [indiscernible] into equity of products. We expect profit before taxes to grow at a strong double-digit growth rate, assuming a better contribution for [Nordex] [ph]. And lastly, in terms of dividend, as I repeat, as I said before, the Board of Directors has proposed the distribution of a dividend of €4.5, which implies a 10% increase versus the previous year and a payout of 56% . Thank you for your attention. Let me have the floor again to the Chairman, Jose Manuel Entrecanales.
A - Jose Manuel Entrecanales: Thank you. And now we will go on to the questions that we have received relating to Acciona Energias, which will be addressed by Arantza and Rafael and the key management team who's currently present in this room. So, let's start with the question from CaixaBank, Flora Trindade, in which she is asking about the current interest rate environment and competition for new projects, if we can – within that environment, if we can comment on the IRRs of most recent projects? I reiterate my comments in the – in my introduction, we have not seen a significant change in the financial structure of our investments in energy because as prices costs have risen in the – in CapEx and financial costs have also increased by about 200 basis points, they have been offset by the increase in energy prices. So, our returns going forward, and the curves that we use as a reference, which is a mixture of all the public curves plus our own future projections and our own curves all those elements put together, throw out IRRs that remain in the ranges that we were using before in – when we announced – when we came public and made our assumptions in the IPO. So no, the answer is no. It has not changed substantially in any way. Obviously, there's variations in regions, but no, the change is not substantial in that front. I don't know if there's anything you want to add, Rafael or Arantza?
Rafael Mateo: No, maybe on top of the prices, also the RIN certificates are increasing the price. So, the addition – energy plus RIN certifications are compensating and offsetting the increase in CapEx.
Jose Manuel Entrecanales: Okay. Second question is about M&A. M&A and the possibility of M&A helping reach the 2025 target. Indeed, that's something that we've always kept in our – as a possibility. And in fact, we have done a couple of M&A – smaller M&A projects, a few M&A projects in the past 18 months, one of which has added capacity in the battery space, and we expect to continue to have opportunities of that nature. On – that was a question from CaixaBank, Flora Trindade, and Deutsche Bank, Olly Jeffery. The third question is from Fernando Garcia at Royal Bank of Canada, which goes on regulatory banding will be neutral in the future, will achieve prices evolve with just market prices and hedge prices in Spain? So, Arantza or Rafael?
Arantza Ezpeleta: Yes. Thank you. So, you're right that the reversion of the banding is a one-off accounting item in 2022, but we are doing just the same of the rest of the utilities in the sector in Spain. Most of our regulated assets will not have regulatory income going forward. We're estimating only between €2 million to €3 million in the coming years and will consume any residual net asset value before the end of their useful life. Going forward in Spain, you're also right that the regulatory driver is going to be very marginal, it will be only – it will all be about how we sold the electricity through long-term contracts, financial hedges, and also the portion of merchant. And I will suggest that you have a look at the slide in the appendix, where you can find some detail on how the mix of volumes may evolve in Spain in the future.
Jose Manuel Entrecanales: Thank you, Arantza. Then there's another question from Fernando Garcia at RBC. What is the output subject to gas clawback in Spain in 2023?
Arantza Ezpeleta: Yes. Thank you. We are estimating that at P50, that would be around 2 terawatt hours of consolidated Spanish output. And this is taking into account the hedges we put in place before April 2022, and the long-term contracted energy that is below the price of €67 per megawatt hour.
Jose Manuel Entrecanales: Okay. Question number 5 comes from a number of attendees to the conference – comes from Fernando Garcia at RBC, Oscar Nájar Ríos from Santander, Jorge Alonso from SocGen, Paul Chabran from Kempen and Olly Jeffery from Deutsche. The question is, based on your guided capacity installations, would you need approximately 4 gigawatt additions in 2025 to reach your 20 gigawatt guidance for 2025? I guess he means 24 gigawatts in 2024 and 2025, anyway, it says 4 gigawatts in 2025. Do you maintain the guidance, which I guess is the key part of the question? So Rafael?
Rafael Mateo: Yes. We are going to build 1.8 gigawatts in 2023. And for the next couple of years, 2024 and 2025, we need to do at least 2 gigawatts per year and we are reaching this target. We have some opportunities in the market. As I mentioned before, we are in today talking with some developers in the U.S. markets with opportunities in PV totalizing 2 gigawatts. And with some of these opportunities, we are comfortable with filling them up to reach the target.
Jose Manuel Entrecanales: Okay. Question number 6 from Arthur Sitbon at Morgan Stanley. Would you mind providing the underlying commodity and government intervention assumptions for both your low point EUR 1.5 billion and your high point, EUR 1.6 billion EBITDA guidance, 2023? Rafael, go ahead, please.
Rafael Mateo: We are not expecting more interventions in the year, more than the clawback extension until the end of the year in order to do the guidance and 1.5 billion, 1.6 billion, we are considering prices around – for prices for the year, €130 to €150 per megawatt hour.
Jose Manuel Entrecanales: Yes. So our expectation is that there will be no significant changes in the model regulatory-wise in the next year, in the present in the current year. And the impact, as Rafael says will be mostly on what happens with prices. On Question number 7, also from Oscar Najar of, Santander, Ranieri from Stifel and also from SocGen, Garrido from JPMorgan, Chabran from Kempen and Tar from Berenberg is, in PPAs lately, you have signed several PPAs. Could you please give us some feedback about types, prices, and length. I think it's worth giving the floor to Javier who's sitting there, Javier Montes, who's the expert on the topic, and he will give some color on details.
Javier Montes Jimenez: Good morning. Acciona Energias signed in 2022, 34 PPAs, representing 2.53 terawatt hours of corporate PPAs and another 300 in some feed-in tariff contracts in Croatia and the Dominican Republic. Of this, more than 95% are 10 to 15 years in length, only some 250 gigawatt hours are on 5-year contracts in Spain, which represent interest from some retail clients. Around 40% of the electricity contracted corresponds to baseload contracts in Spain and are supported by assets from our operational fleet, which were coming out of the regulated environment. The rest are pay as produced and almost all for new assets. Prices have increased around the world with healthy trends, even though the pace might be slowing somewhat in – as we expect in 2023, but the increase is very substantial compared to 2021. Those increases range from 20% to 60% and are more strongly felt in Europe and the U.S., compared to other jurisdictions.
Jose Manuel Entrecanales: Thank you, Javier. Then question number 8 comes from Jorge Guimaraes, JB Capital. When do you expect CapEx cost pressure in the U.S. to abate? I will pass on to this [indiscernible], Head of Construction, CapEx.
Unidentified Company Representative: Thanks, Jose Manuel. Yes, we are, in fact, already seeing this reduction in cost in PV in the U.S., mainly due to the module polysilicon and logistic decreases. So, we are already taking advantage in our current projects under construction in this CapEx reduction. For the rest of the [BOP] [ph] and future projects, the trend is also going down, not so heavily as it's happening for polysilicon and logistics.
Jose Manuel Entrecanales: Okay. Question number 9 from Jorge Alonso at SocGen; Javier Garrido, JP; and Swabey at HSBC, is when do you expect to bring into operation the pipeline of battery capacity and that you acquired in the U.S.A. and whether there are any expected additions of batteries in 2023 and 2024?
Rafael Mateo: Well, in the U.S., we acquired a pipeline with projects of batteries, something around 1 gigawatts. The projects are secured in land, not yet the interconnection, they are pending on the interconnection and we expect to finish the development in 2025. We are seeing other opportunities of storage in other markets as in Australia.
Jose Manuel Entrecanales: Let me add to that, there is a line of analysis and research and opportunity around the second life batteries of mobility – of vehicles, and we're working hard on that. It's still probably not for the next few years, but it will have an impact in the storage capacity of the electrical system. Okay. Question number 10, what is – Ranieri from Stifel and Javier Garrido at JPMorgan, what is your expectation on the pool prices in Spain for 2023? Arantza?
Arantza Ezpeleta: Yes. Thank you. So, our current expectation is for the Spanish pool prices to be in the range of the [€130 to €150] [ph] megawatt hour, but this will also very much influence and depend on how the second half of the year evolves in terms of temperature, gas storage and prices, LNG market and so on.
Jose Manuel Entrecanales: Very good. Question number 11. U.S.A. Inflation Reduction Act policy and how does from Charles Swabey at HSBC, whether it's possible – whether it's positive in the 2024, 2025 capacity addition? Or is this more of a 2025 beyond story? Is the potential acquisition of the mature USPV pipeline related to IRA to the Inflation Reduction Act policy. I think this question, Rafael Esteban, head of development can deal with it.
Rafael Mateo: Yes, sure. Thank you, Jose Manuel. I mean, the IRA really helps us in terms of more visibility of the market to attend 10, 12 years of visibility. So, it really helps to build up and to continue making the pipeline. In the cases of the portfolio that we are looking – the pipeline of projects that we are looking doesn't relate specifically to it. Of course, it helps, but what we are looking is capacity addition. So from that pipeline that – some of them could go on 2024, 2025 and other ones could go beyond that time.
Jose Manuel Entrecanales: Thank you, Rafael. And this is a question that we can share between Rafael Esteban, Rafael Mateo, because it's quite generic. It's on the Brazilian market. Could you give us a color on the Brazilian market? And what are the key factors for growth? And what's driving PPAs in Brazil? So...
Rafael Mateo: Yes. As I said before, we are developing today in Brazil, 1.1 gigawatts in 3 wind farms – in 3 wind projects with a very high load factor. The idea is today to finish the development to reach the ready-to-build situation and to wait for the best moment to look for an off-taker to sign a PPA. Brazil is very dependent on the hydrology. Today, they are living in a window of very low prices. So, we need to wait after reaching the ready-to-build the best moment to sign the PPA. We are permanently talking with potential off-takers in order to close the best moment.
Jose Manuel Entrecanales: Okay. Well, thank you very much. That does away with the questions on energy, and we will then – we will now address the questions on infrastructure in general. I will start with question number 1, which is, can you please explain the drivers behind the strong construction EBITDA margin and share your expectations for 2023? Let me pass on this question to Luis Castilla
Luis Castilla: Thank you, Jose Manuel. There are several facts affecting the good evolution of the EBITDA. The first one probably is the good control of the escalation in raw material and product selections. It's also another explanation coming from – in the second half of the year. We enjoyed an increase in the production of certain large contracts, for example, Sao Paulo Metro in Brazil. We are also increasing the number of alliance and collaborative contracts in our division that will continue contributing to the good EBITDA and a strong EBITDA. And finally, we see more stability in the countries we are working on with a lot of opportunities. The market is growing. We can select the opportunities and will affect the EBITDA in a positive way.
Jose Manuel Entrecanales: I would like to stress that last point which I was mentioning in my introduction. The demand is growing for very large projects, very technically complex projects. And that puts us in a privileged position in terms of being able to be more selective with countries, legislation, contracts, clients, type of projects, all of that as a whole, particularly the contractual types that we are – that are spreading fast, which is the alliance type of contract is improving the nature of the market very consistently and very fast or that added to the capacity to select countries with a strong rule of law, which is a significant improvement in the potential margin protection process of this industry. Question number 2, can you please give some granularity on the CapEx ex-energy, real estate, mobility, et cetera. Why don't you take that one, Jose Angel? Please.
Jose Angel Tejero: Yes. I think that in my intervention, we have gone through almost all of the items, but I will repeat, Nordex is – the capital increase in Nordex, we invested 243 million. Our main capital contribution to construction contract is to Line 6, 101 million. Also, we have invested heavily in heavy machinery for construction related to the reconstruction contracts that we are undergoing right now is another 128 million. We have invested in real assets, another over 100 million. Silence, we have invested an additional 14 million. And then the rest is in different items like urban services contracts, IT and so on, and that adds up to the invested amounts that we have done externally.
Jose Manuel Entrecanales: Thank you, Jose Angel. Now question number 3 is comes on given continued losses at Nordex and the need for capital, almost 0.7 billion since 2019. What is your strategy for this company. This comes from Fernando Garcia at RBC and Zimmer, [Michael Savala] [ph]. Now, the past losses of Nordex are related to very specific situations. One, which, by the way, are, I would say, in the case of Nordex, one of the least acute problems in the industry. So, put in context, Nordex is in better shape – in better relative shape than most of the industry. So, we do not believe that circumstance is – will repeat in future years, very much in the contrary. We have very positive expectations for Nordex in the future, not only in the day-to-day turbine business in which its quality product, it's excelling in most markets where we are present, but also in new lines of business such as utility scale, large hydrogen projects and even floating offshore, which it's being under analysis. But yes, we do have a great deal of trust in the future of Nordex. And it is an essential part of our development capacity. We do have a good service. And for the time being, our strategy remains to be committed to this company. Any additions on that, comment? Very good. So, the next question, it's net debt ex-Acciona Energias in Acciona, from Fernando Garcia. Net debt, ex-Acciona Energias increased by almost 0.9, how do you see capital structure at Acciona? Do you plan any remedy? I don't see that we need any remedy, quite frankly. We have a very low leverage as a group and taking the pieces of the group aside and analyzing them independently is probably a good theoretical effort, nonetheless, it's not reality. The reality is that we have a consolidated debt system, group accounting, and that's what count. And that's what doesn't, at this time, needs any remedy. [Indiscernible] you want to develop on the details?
Unidentified Company Representative: No, I just insist that the way we see our dialogue with their investors are on a consolidated basis, although we are fully separated from energy. In terms of [grade profile] [ph], we have improved actually this year from what we did last year. And an increase in debt is actually, in investments that actually will produce further revenues and improve the grade profile of the group in the coming years.
Jose Manuel Entrecanales: Question number 5 comes from Oscar Najar from Santander. Concession strategy, do you see it as a key of the division going forward as a number 2 behind construction. Let me add – let me answer, but then I'll pass on for more details to Luis Castilla, will give you. But indeed, I wouldn't qualify it as – to put a number on to it, quantify it. And number two, it is certainly a key element of our construction strategy or our infrastructure strategy. Our construction capacities give us a very strong pipeline of new concessions – of new potential concessions. And the greenfield concession development and the turnaround into brownfield and putting into the market eventually is that – is a strategy to follow. And definitely, it will be a very important, it has been in the past. We had a couple of M&A transactions which were very profitable a couple of years ago, 2.5 years ago, I think, and that will continue in the future. Of course, the maturity process of these transactions takes a few years, but the accumulation of assets, concessional assets that is happening and will continue to happen will prove to be a very important source of returns and capital enhancement in the company. Luis, anything to add there?
Luis Castilla: No, just to confirm that we are seeing a very clear growth on the global infrastructure world, and we [wait] [ph] something around 2.5 trillion in 5 years investment in our markets. 2023 will be an active year for the construction business in Acciona. We are working on various projects with a total CapEx of more than 11 billion. The pipeline that we are analyzing for the shorter will be – is worth more than EUR 80 billion. So. I'm sure that we will increase the size of our business.
Jose Manuel Entrecanales: Very well. Well, that was the last question. So, thank you very much for attending this 2022 conference, and we'll see you in six months for the half year conference. Thank you very much, and thank you very much, all.